Operator: Good day and thank you for standing by. Welcome to the Allbirds Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Christine Greany with The Blueshirt Group. Please begin.
Christine Greany: Good afternoon, everyone, and thank you for joining us. With me on the call today are Joey Zwillinger, CEO; Joe Vernachio, COO; and Annie Mitchell, CFO. Before we start, I'd like to remind you that we will make certain statements today that are forward-looking within the meaning of the federal securities laws, including statements about our financial outlook, including cash flow and adjusted EBITDA expectations, 2024 guidance targets, impact and duration of external headwinds, strategic transformation plan and related planned efforts, go-to-market strategy, planned transitions to a distributor model in certain international markets, anticipated distributor model arrangements, expected profitability, cost savings targets, gross margin estimates, product plan timelines and expectations, third-party partnership strategy, marketing strategy, and other matters referenced in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please also note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise any statements to reflect changes that occur after this call. Please refer to our SEC filings, including our quarterly report on Form 10-Q for the quarter ended September 30th, 2023, for a more detailed description of the risk factors that may affect our results. Also during this call, we will discuss non-GAAP financial measures that adjust our GAAP results to eliminate the impact of certain items. These non-GAAP items should be used in addition to, and not as a substitute for, any GAAP results. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures to the extent reasonably available in today's earnings release. With that, I will turn the call over to Joey to begin the formal remarks.
Joseph Zwillinger: Thanks, Christine, and welcome, everyone. We concluded 2023 with Q4 results at the higher end of our expectations, marking the fourth consecutive quarter of meeting or exceeding our guidance with strong execution towards reshaping the business under our strategic transformation plan. This being my last earnings call at the helm of Allbirds. It is a big moment for me both professionally and personally. I'm incredibly proud of what Tim and I helped create over the last nine years. I'm also incredibly pleased with the renewed foundation we've established through our transformation work over the past year, not least of which being the incredible management team we have recruited to lead this next chapter of revitalization and growth. Zooming out for a moment, I want to remind everyone about our higher level opportunity. Allbirds makes shoes that are timeless and versatile in style and innovative in the nature-derived materials we use. The blend of our unique approach to design and materials creates a highly differentiated offering, one that our consumer feels immediately when they slip on our shoes. The consumer we target, a group called the Changemakers, represents approximately 20 million people in the US when applying the sharpest definition. And when we include closely adjacent demographic groups, this group grows to approximately 68 million people. Only about 5% of that 68 million target have purchased our products since our inception. And with a per capita average of eight pairs of shoes per year, the untapped potential of this group constitutes a tremendous market opportunity for Allbirds in the US alone. Judged by our consumer reviews and NPS, we know that people who try our products love them. The challenge we are tackling now is to raise awareness of the brand and compel this group to buy with delivery of great product and storytelling. I will get back to products and marketing in a moment as this is the most essential aspect of our transformation to revitalize momentum behind the brand this year. However, before we could bring our refreshed product line to market as we expect to begin in earnest later this year and invest behind those introductions with breakthrough marketing, we had to clean up our business. In just one years' time, we have fundamentally changed and strengthened our underlying operating model, touching all critical aspects of the business, including our store portfolio, international marketplace, manufacturing efficiency and cost structure. And we closed out 2023 with our inventory in a clean and healthy position in terms of both composition and absolute volume of finished goods across all channels. This new foundation enables us to drive durable profit as we grow in the years ahead. I'll give you a quick review of what our flock delivered in the first year of our transformation. First and foremost, we cleaned up inventory, clearing through underperforming legacy products and reducing our inventory levels by 51% year-over-year. As a result, we entered 2024 with a healthy mix of core franchise goods and the ability to lean into the fresh product innovation coming later this year. Relatedly, we significantly improved our rate of full year operating cash use and ended the year in a strong cash position, providing us with the financial flexibility to continue executing our strategic transformation plan and now invest in profitable growth. The third area of success is cost discipline. We delivered cost of goods and SG&A savings compared to our run rate at the end of 2022, keeping us on track to achieve the 2025 cost reduction targets we had previously communicated. Fourth, we secured pathways for four of our international regions to transition to a more profitable go-to-market strategy via distributors. Canada and South Korea transitioned in Q3, while Japan and Australia and New Zealand are expected to transition later this year. The final aspect of improving the operating model is related to our work to balance and optimize the US marketplace. Related to that, we have signed or anticipate signing agreements to close 10 to 15 underperforming stores in the US. All of which are expected to close during calendar 2024. While the groundwork for profitable growth is now laid, there will be short-term revenue impact in 2024 as a result of these transformative activities. Between store closures and the shift to a more capital-efficient go-to-market strategy in the international regions, our guidance for the year contemplates between $32 million to $37 million of revenue impact in 2024. Annie will walk through the implications of these actions in detail. The important takeaway is that we're doing what's right for the business, and this part of our journey is in service of driving long-term profitable growth well into the future. Stores remain a highly effective way to meet new customers and drive omni-channel purchasing and omni-channel purchasing is the most profitable consumer journey we can generate with their lifetime values far surpassing single channel repeat customers. As we focus on renewing brand momentum and driving sustained growth in the US, we are leaning into our most efficient stores in key cities where we want to win. The wholesale channel also represents an important vehicle for Allbirds, one that can help us build awareness for the brand while further balancing the marketplace. We have always envisioned wholesale as a large portion of our long-term channel mix and continue to see that in the future, offering a major growth factor for us which we expect to drive solid contribution margin and increased awareness, all coinciding with our objective to introduce consumers to a refreshed product line around our icons. For our international regions, I want to recognize that this is one of the more complex aspects of our transformation plan and to that end, Annie will provide a detailed walkthrough on the economics of these transitions and the related P&L impact. We have secured partnerships in four key regions with additional regions in process. This was a significant task and one that the team affected quickly while prioritizing a premium brand presentation to consumers in these regions. The distributor model carries multiple benefits including improved profitability, inventory efficiency, reduced complexity in our US headquarters, and improve working capital. In the early stages of the transition, there is a short-term headwind to growth, but the benefit is higher quality revenue gets greater flow through to the bottom line. Going forward, we expect to generate approximately 20% contribution margin in the transition and new international regions through this model. With the capability built to effectively serve distributors in international markets, we are now pursuing opportunities to enter new regions, including Southeast Asia, the Gulf Coast countries, and to localize in key regional marketplaces across continental Europe. We expect to share news of these growth opportunities in the near future. In the UK, we expect to maintain our direct distribution model as we see big opportunity to win in London, which we view as a strategically important market for other regions and where we have made significant interest. We will also add wholesale in the UK to drive new growth. With the heavy lifting of last year complete and a clean inventory backdrop, our teams have amplified their focus on driving long-term profitable growth. The most critical aspect and the final step in our transformation is to revive brand momentum and reignite top line growth. The path to do so is through delivery of a relentless flow of compelling products coupled with resonant stories aimed at Changemakers. With our approach to innovation, leveraging a franchise offense with embellishments and distortions to our icons. We intend to drive newness while maintaining high-skew productivity. Given we started this transformation in the beginning of 2023 and have typical lead times of 15 to 18 months from concept to consumer. We are on track to begin delivering this refreshed product line in late Q2 of this year. Our first test of this strategy was with the release of the Wool Runner 2 this past November, which was our most successful launch in over a year. And while just an initial test with relatively minor aesthetic adjustments, the success of this product has given us clear indication of how we can differentiate from others in our category and deliver products that our consumer will come back for time and time again. You'll see our first major innovation of 2024 around an icon in April when we plan to launch the Tree Runner Go. We will follow that with additional innovations specifically designed to address our opportunity with women Changemakers in Q3. In conjunction with the new life injected into the product line, you should also expect investments into brand marketing later this year aimed at growing awareness. The focus of these investments will be to introduce new consumers to the brand, and drive full price sales as they progress through the funnel, with mid and longer-term impact extending into 2025. Our aided awareness is estimated to be just 15% in the US, illustrating the big opportunity to showcase our beloved products to new consumers. In support of this effort, we have significantly elevated the horsepower on the creative side of our business. In December, we appointed Kelly Olmstead as our Chief Marketing Officer, as well as Adrian Nyman as our Chief Design Officer. Both of these individuals bring incredible track records and decades of experience in footwear and apparel. Adrian helped deliver an enhanced creative vision through his work as an advisor last fall, and since joining as our Chief Design Officer, has accelerated our work towards a cohesive approach to our franchise offense. Kelly is refining the messaging to match the elevated product offering, and bolstering efforts with a digital-first influencer program to build awareness and relevancy. With this superb design and marketing leadership in place ahead of our upcoming product cycle, we're eager to create the renewed consumer excitement and margin expansion that we anticipate on the horizon from these leaders. Annie has been successful in driving the operating and financial discipline we have demonstrated through her role as our CFO since joining early last year. And, finally, I'll speak about Joe Vernachio, who as our COO played an integral role in the success of the first year of our transformation efforts. Along with some other longer-term team members, we have assembled the best executive team in the history of the company. With a world-class team in place, I am proud to hand over the reins to Joe to be our next Chief Executive Officer. Joe and I have developed a strong partnership over the past three years, as I steadily increased the scope of his responsibility. Not only is he an exceptional retail operator, but I learned that Joe's appetite and ability to drive positive outcomes has increased with each expansion to his role. He is a product executive at heart, but a human-centered leader who pragmatically focuses on driving outcomes for the company and its shareholders. I am thrilled to welcome Joe as our next CEO, and as a member of our Board of Directors, where I will sit alongside him and continue to support him in rebuilding momentum behind the Allbirds brand. Joe, congratulations. I'll now pass it over to you to share a bit about your background and your initial priorities.
Joe Vernachio: Thank you, Joey. I'm excited and honored to be stepping into this role and look forward to getting to know our analysts and investors in the upcoming quarters. This transition marks a high point in my career, which began in 1987 at Patagonia. It was during those early years that I developed a passion for creating exceptional products. I honed my skills in product development, operations, and merchandising over decades working with several iconic brands such as Nike, Calvin Klein, and The North Face and orchestrated the turnaround at Mountain Hardwear. I joined Allbirds nearly three years ago, attracted by its potential to become a lasting, iconic brand led by its lifestyle positioning, commitment to sustainability, and inherent consumer value. Since June of 2021, I've had the pleasure of working side by side with Joey. Initially, I was tasked with establishing operational excellence across various functions, including distribution, inventory, and manufacturing while leading our global commercial activities in digital, stores, and wholesale. As a key player in our operational transformation, I have been able to apply my turnaround experience to our inventory reduction, international transitions, and retail optimization. Most recently, I took charge of our product engine, where I installed Adrian as our Chief Design Officer. Together, we are building a world class design team. As the year progresses, we look forward to sharing more about our vision for the 2025 product line. As I step into the CEO role, I'm pleased that we have structured the business to deliver profitable growth in the years ahead. Consistent with the key pillars under our strategic transformation plan, in the near term, I will be prioritizing these four areas. Number one is product, ensuring we have a steady flow of compelling product that resonates with the consumer is paramount to my strategy. We believe a combination of focusing on our iconic footwear and incorporating seasonal collections is a recipe for delivering more of what our customers love most about Allbirds. Number two is brand messaging that delivers a clear, connected narrative at both the brand and product level that results in increased consumer awareness. Third is developing a robust US marketplace. This includes growing full priced sales in our digital channel, optimizing our owned retail performance, and steadily growing our wholesale channel with key partners such as REI, Nordstrom, and Dick's Sporting Goods. We believe there is tremendous growth opportunity in the wholesale channel for our brand. Fourth is expanding our international business, primarily through distributors. Partnering with these in-region experts can help us extend our reach and drive greater brand awareness in both existing and new geographies over time. As you can tell, my priorities are about driving growth. We have significantly improved our business model and reduced our cost structure over the past year and now it's time to regain momentum with our customer and position the brand to return to growth in 2025. As we turn to this next chapter, we are fortunate to have incredible people across the organization who are passionate about the brand, dedicated to our purpose, and committed to winning. Now, I'll pass the call to Annie to discuss the financials and our outlook for 2024.
Annie Mitchell: Thanks Joe, and good afternoon everyone. We're pleased to report our fourth consecutive quarter of both operational and financial progress. Our Q4 results came in at the high end of our guided range on the top line and ahead of our expectations on the adjusted EBITDA line. We also delivered significant progress across inventory and cash, with inventory reduced by half versus a year ago and operating cash use down both sequentially and year-over-year. Fourth quarter revenue of $72 million declined 14.5%, reflective of our actions to continue clearing through non-core product, and reduced marketing investments. Gross margin came in at 38.0% compared to 43.1% a year ago. This was in line with our expectations and was inclusive of our planned promotional activity, which allowed us to end the year in a healthy inventory position. The impact of promotions more than offset cost of goods savings resulting from lower outbound freight. Looking at expenses, SG&A dollars, excluding stock-based compensation and depreciation and amortization, came in better than we expected on both a sequential and year-over-year basis. This reflects lower personnel expense, as well as ongoing cost discipline. In 2024, we expect SG&A dollars to be down year-over-year, as we realize the full year impact from previous workforce reductions, and capture partial year savings related to 2024 store closures and international transitions. Turning now to Q4 marketing expense, we were up sequentially from Q3 in dollars, which was in line with our plans to increase spend in support of the holiday selling season, as well as our Wool Runner 2 launch. Looking at 2024, we expect marketing spend to be down, largely associated with our international transitions, with planned incremental investments in the US in the back half. Moving to the balance sheet and cash flow, we delivered another solid quarter of progress on inventory and cash and ended the year in strong financial condition. Year-end inventories totaled $58 million. That's down 51% versus a year ago and reflects the cleanup of non-core colors and styles which allowed us to enter 2024 with healthy levels and composition. Our progress on reducing inventories, coupled with strict control over expenses, enabled us to narrow our Q4 operating cash use to $4.7 million versus $8.4 million a year ago. On a full year basis, operating cash use was $30 million down significantly from $91 million in 2022. We closed the year with $130 million of cash and cash equivalents and no outstanding borrowings under our $50 million revolver, providing us with the runway and financial flexibility to execute our strategic transformation plan. After a year in which we converted a significant amount of inventory into cash, we anticipate that operating cash use will naturally increase in 2024 compared to 2023. We're proud of our strong execution in 2023. We did the hard work, achieved our goals and put us on the path to rightsizing our cost structure. Importantly, we're tracking to the COGS and SG&A savings targets we laid out a year ago. As a reminder, our 2025 targets include $20 million to $25 million of cost of goods savings on a volume neutral basis to 2022, and $15 million to $20 million of SG&A savings on an annualized basis, as compared to our run rate at the end of 2022. As you heard earlier in the call, we're taking actions this year designed to position the business to return to top line growth in 2025 and set us up to deliver profitability in future years. Now I'll walk you through the financial impact of two key initiatives. First, we're optimizing our US store portfolio through the exit of certain underperforming leases. We are focused on four-wall EBITDA profitability and anticipate that a leaner portfolio will enable us to improve fleet profitability, working capital and inventory. Following a rigorous fleet review, we are planning to close 10 to 15 stores in 2024, representing up to one-third of the portfolio. In conjunction with the closures, we expect to incur one-time cash charges to settle these leases, largely in the first half of the year. Turning now to our international go-to-market strategy. One of our objectives today is to educate our analysts and investors on the modeling implications and related P&L impact resulting from our transitions to a distributor model in the majority of our international markets. Conceptually, the best way to think about each line item is as follows. Starting with net sales. From a high level perspective, we are replacing direct sales to the consumer with sales to the distributors at a lower price similar to a wholesale model. Following a large, initial inventory buy as part of an asset purchase agreement, volumes remain low for the first quarter or so and then begin building in the next quarter. While the distributors will buy from us each quarter, we anticipate volume purchases in Q2 and Q4 will be proportionately higher due to seasonality. The margin and profit profile is also similar to a wholesale model in that gross margin is lower than our direct business, and SG&A and marketing expense is minimal. We anticipate that gross margin will be approximately 15 to 20 percentage points below total company margin, and in-region SG&A and marketing costs will reduce to a nominal amount. Taken together, this represents in-region savings of approximately $14 million on an annualized basis. Additionally, our in-region CapEx will be de minimus. For added context, we will leverage global creative investments at the corporate level and maintain limited operational costs within our headquarters which will be included in total company SG&A. From a bottom line perspective, despite lower gross margins, with minimal overhead in these regions, they are expected to be immediately profitable and carry an average contribution margin of approximately 20%. Additionally, from a working capital perspective, the new model is expected to unlock inventory efficiencies and drive improvement in working capital. To further assist with your understanding of our international transitions and progress against our strategic transformation, at the conclusion of this call we will be posting supplemental materials to our investor relations website under quarterly results. The financial guidance we're providing today reflects a full year of operations under the new distributor model for two regions, Canada and South Korea, and approximately half-year contributions for other regions transitioning or expected to transition this year. To assist with your modeling efforts, during this first year of transition, we are also providing a revenue outlook for each of the US and the international geographies. For the full year in 2024, revenue is expected to be in the range of $190 million to $210 million. This reflects a headwind of $32 million $37 million related to our strategic actions to close US stores and transition our international markets to a more profitable distributor model. Stepping back and looking at the underlying business excluding these two near-term headwinds, we believe the inventory clean-up in 2023 will enable us to return to more full price selling in 2024. We believe this is the right approach for the brand, but we recognize there may be a natural lag for the consumer after responding to our promotional messages and offers last year. To that end, the low end of our revenue guidance reflects trends down in the mid-teens. The high end of our guide reflects sales down mid-singles, which assumes a modest improvement in consumer response to our new products and storytelling in the second half of the year. Taking a look at revenue by geographical market. Full year US revenue is expected to be $150 million $165 million and includes approximately $7 million to $9 million of impact resulting from our anticipated US store closures. Full year international revenue is expected to be $40 million $45 million and includes approximately $25 million to $28 million of impact resulting from our anticipated transitions to a distributor model in international markets. Gross margin is expected to be in the range of 42% to 45% and reflects a few key factors. Reduced promotional intensity compared to 2023. Lower inbound and outbound freight and initial savings from our factory shift to Vietnam and material innovations. These benefits are expected to be partially offset by lower gross profit from international regions that have transitioned or are planned to transition to a distributor model in 2024 Full year adjusted EBITDA loss is expected to be in the range of $78 million to $63 million. Turning to Q1 guidance. First quarter revenue is expected to be in the range of $37 million to $42 million. That includes US revenue guidance of $28 million to $31 million and international revenue guidance of $9 million to $11 million. Adjusted EBITDA loss is expected to be in the range of $27 million to $23 million. As a reminder, during the first quarter we will be operating with two of our international regions already transitioned to the distributor model, Canada and South Korea. For added perspective as you think about building your full year models, we expect top line trends to remain fairly consistent for the first three quarters of the year, with seasonally-driven improvement in Q4. There are a number of factors driving the anticipated trendline, including. The transition of at least four international regions, store closures, tough comparisons to promotional activity in 2023 and consumer response to new product introductions, as well as marketing investments we intend to make in the second half of the year. Looking further ahead, achieving adjusted EBITDA profitability and positive cash flow on a full year basis remains our north star, but the timing to get there may take longer than anticipated. We believe the actions we're taking this year will position the business to return to top line growth in 2025 and feel confident that our transformation work is enabling us to build the operating model needed to drive profitable growth in future years. We appreciate your time this afternoon and look forward to reporting to you on our progress throughout 2024. Now I'll ask the operator to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alex Straton with Morgan Stanley. Your line is now open.
Katherine Delahunt: Hi. Thank you for taking my question. This is Katy Delahunt on for Alex Straton. My first question is, we were surprised to see sales decline even when adjusting for 12 closures in the international transition. What's driving that decline? Is it just waiting for the new product to arrive in the second half.
Annie Mitchell: Hi, Katy. It's nice to hear your voice again. Yes, when you're looking at our guidance is there are a number of factors impacting some of the quarterly trends as well as the overall numbers. We talked about the closing of the retail doors that did already start in Q1. The international markets, the two new ones will happen mid-year. And then where we expect there to be growth to be coming from is the introductions of refreshed and compelling new product that will happen later this year and really is ramping up as we move into 2025. Additionally, we are planning to coincide our marketing investment with the launch of those new products. So in the first half of the year, we have all of the non-comp impacts, and it's starting in the back half of the year with the introduction of new product that gives us excitement as we work our way into 2025.
Katherine Delahunt: Got it. It makes sense. And then just one more for me. On the US store closures, is there any specific like demographic trend or driving behind the ones that you're closing? Like are they in more suburban markets or a certain size or any trends we should think about there?
Joseph Zwillinger: Yeah I would say the overwhelming theme to think about in the ones that were closing for the year are really some of the newer ones that were designed with a little bit of a larger store footprint and probably best served with a more robust apparel offering. And as we refocus the product line really sharply on those iconic franchises and footwear. We wanted to make sure that the fleet was right-sized for the go-forward product as well as just a great optimized US marketplace so that we're in the key cities that we need to win and we can balance out some of those other places with more robust wholesale distribution.
Katherine Delahunt: Makes sense. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Janine Stitcher with BTIG. Your line is now open.
Janine Stitcher: Hi. Thanks for taking my question. I wanted to ask about the wholesale distribution. You talk about it being a long-term, a larger portion of your mix. What's needed to reaccelerate that there? How should we think about timing and magnitude? And maybe just remind us where you are and what accounts you're in and what the go-forward plans might look like. Thank you.
Joseph Zwillinger: Hey, Janine. Yeah, I'll start us off here, and then I'll kick it over to Joe if he wants to add something for the go-forward. So, you know, just context-wise, we had some nasty work to accomplish last year and that was with a robust set of promotions and markdowns to make sure that we had a very healthy inventory to come into the year in 2024. So we did that and along the same timeline we were also refreshing the product line and moving things through the development cycle which really is going to start to hit in earnest in Q2 and beyond in 2024. And we think they're very optimistic about the back half of what's coming as improvement versus '23 and before, and really excited about 2025. So when we think about what we want to do with wholesale, we want to be great partners there. And the biggest and most important element for our partners is to drive great sell-through and margin. So we want to make sure that the right product is on the shelves and we're showing up fantastically for the consumer when we really push the acceleration in that channel. And we do think it's a very big part of our business going forward. We've always envisioned it being a sizable chunk when we had the right product to do that. So that is where we're headed, but we did want to make sure to be cautious and not put product in the channel that we didn't think would resonate strongly with consumers and create a messy marketplace. So that's the worst thing that could happen and so we were fairly prudent and cautious about making sure we had pulled back in that channel so that we could then reaccelerate. And our partners are great to support us there. Joe, maybe you can just mention who we're working with closely and what you have in store moving forward.
Joe Vernachio: Yeah, and overall, Janine, nice to meet you. Hello.
Janine Stitcher: Nice to meet you as well.
Joe Vernachio: We believe that wholesale is a big component of our overall balanced US marketplace, along with our own digital and our own retail stores. We think the opportunity in wholesale is quite significant for us as we move forward. We purposefully held back last year for all the reasons Joey just described to make sure that we weren't putting product into the marketplace knowing that we had to move through our own inventory. And we're really fortunate that we've got marquee retail partners to work with. A lot of brands would be very fortunate to have the portfolio that we have. We are working directly with them and we'll be going on a road show over the next series of months to reintroduce our product strategy, our icon strategy, our communication strategy to reinvigorate our sell-in with those retailers and you should start to see products starting to come on line later in this year and early in next year.
Janine Stitcher: Thanks so much for all the color and best of luck.
Joe Vernachio: Thank you.
Operator: Thank you. One moment for our next question please. Our next question comes from the line of Dylan Carden with William Blair. Your line is now open.
Dylan Carden: Hey, thanks. Kind of some boring ones here, but the breakout between retail and digital growth in the quarter. I'm kind of curious how you're thinking about reporting go forward if you're going to start breaking out the wholesale distribution. As we kind of look to maybe adjust our models.
Annie Mitchell: Dylan, for the immediacy, no, we're not going to be changing the way that we are sharing our segments and our information. For this year, we will be giving guidance for US and international separate. We did that for the full year for Q1. We understand that this shift international is going to be meaningful in terms of the modeling. So for this year we do anticipate giving this -- guidance in terms of reporting. No, we do not intend to change our segment quite yet.
Dylan Carden: So you're not going to be breaking out retail and digital? Is that what you mean? In order to providing a wholesale. Okay. And then on gross margin, the guide kind of actually up on the year despite, and maybe I sort of misheard you, but despite the sort of the lower gross margin associated with the distributor model. Is that simply because the offset on the promotion cadence or what might I mean missing there?
Annie Mitchell: Yes. So we do, we are giving guidance and are expecting there to be margin improvement in 2024 over 2023. It's coming from a number of factors, and the largest one being exactly as you just called out, the reduced promotional intensity compared to last year. Last year, we ended up doing a significant amount of promotions to right-size our inventory. We were very successful at doing that, as you can see, from the inventory being cut in half from a year ago. We've since shifted back to more full price selling, and the consumer is responding when we give them freshness, either through a new product or color drop. So shipping back to full price is the largest. The next is the lower freight expense and some of the initial COGS savings from our factory shift to Vietnam and the material innovation. To add a little more color, specifically on the freight, these are results of the proactive efforts that we made last year to drive some savings. The inbound savings are coming from our redesigned shoe boxes, which are allowing for more efficient shipping. And outbound savings are coming from a freight tender that we completed in 2023. But you are correct. That's going to be offset by the distributor model. The gross margin in that is lower. However, with the OpEx and marketing being virtually zero. This is a strategic decision that will overall improve the bottom line and we expect a contribution margin around 20% coming from the international distributor business.
Dylan Carden: Got it. And then, sorry, last one, and again, apologies if I sort of misheard you here, it was going pretty quickly. But so the 190 to 210 revenue guide, 32 to 37 loss from store closures, 25 to 28 from distributor model shift. The midpoint of those two plus the midpoint of the guide would suggest actually growth in sales, but the organic guide is sort of down mid-teens, down mid-single digits. I know I'm missing something there but can you tell me?
Annie Mitchell: Yeah, Dylan, yes, we definitely went through quickly. We're trying to get a lot of messages across today. The total of retail and international is 32 to 37. That's made up of retail. Yeah, the retail is 7 million to 9 million and international is 25 to 28. So I think there's a little bit of double counting that you might have had going on there.
Dylan Carden: That sounds about right. Okay. So the organic growth is down mid-teens to down mid-single is the right way to think about that.
Annie Mitchell: Correct. That's exactly right.
Dylan Carden: Okay, thank you very much.
Annie Mitchell: Thank you.
Operator: Thank you. [Operator Instructions] One moment for our next question. Our next question comes from the line of Abbie Zvejnieks with Piper Sandler. Your line is now open.
Abbie Zvejnieks: Great. I have one for Joey. Can you talk about the decision to step down? And then I have a follow-up on SG&A. Thank you.
Joseph Zwillinger: Sure. We've been now a year into this transformation and we're all quite happy with the progress, albeit not necessarily with the overall situation that we find ourselves in here. And when we're in this moment, it's incredibly important to have the right leadership team in place, both through the various phases of a transformation. And Joe and I have been talking about this virtually since he joined the company almost three years ago now, but really in earnest over the last year as an opportunity to get the best retail execution we possibly could at the helm and I think the timing is fantastic and Joe has proven to be an exceptionally capable leader and one that I personally thought was best suited to handle the transformation as we go forward here. So that in particular was the decision around myself and Joe, but I just want to underscore the fact that we have work to do and that work is predominantly around driving growth. And in order for us to do that, we have to get exceptional product teams in place and we have to have exceptional storytelling. And we have to have the resources to bring the bearer to invest behind those people. And fortunately, throughout this process being a deliberate and methodical one, we have a balance sheet that's extremely healthy and now we have an A-plus team in place and we think we have absolutely everything we need to -- we need in order to accomplish this next phase which is all about this return to growth and getting back on offense.
Abbie Zvejnieks: Got it. And maybe just as a follow-up to that before my SG&A question, have you seen any like green shoots on some of the new products that you've put out recently? I mean, we know that some of the performance stuff, you know, didn't really connect with your consumer, but some of the newer product launches, have you seen those green shoots yet, or is this still more of a 2025 story on product?
Joseph Zwillinger: Now, we should see some in advance of that, and I think we've already demonstrated a bit, and maybe I'll let Joe speak to it and add a little color here?
Joe Vernachio: Yeah, I think the Wool Runner 2 is probably the best near-term example of our icon strategy coming to life. So it was our best launch that we've had in a number of years. And the consumer really reacted strongly to the messaging and to the positioning of that product. And coming right behind it will be a product we're calling the Tree Runner Go, which is kind of a sister product to that with more of a summer expression that we'll be launching in the near future. And we expect similar, if not even greater results. The Tree Runner itself is our number one product in our total offering. We expect this new version to do quite well. We'll have a couple of more coming out the balance of the year, a product we're calling The Glider, which has a more active slant and is oriented more towards a female consumer. And then we've got a really strong Q4 offering coming right behind that. So we're really excited about the offering that we've got coming this year, and then the icon strategy and the distortion of the icons coming through '25 we think are really going to propel our growth and drive full price sales.
Abbie Zvejnieks: Got it. On the -- just the SG&A piece, can you talk a little bit more about the cadence of marketing? One, you said some reinvestment in the second half. Does that mean that marketing will grow year-over-year in the second half or will it still decline, but just at a lesser rate than the first half? Thanks.
Annie Mitchell: Great. When looking at marketing, yes, overall, it will be down, sorry about that, overall it will be down, largely related to the international transition. In terms of the overall timing and cadence of it, we do anticipate that each quarter will be down and the exact timing and the investment in marketing will happen in the back half of the year, but we haven't articulated it into exactly which month or quarter. We want to make sure that we're supporting the product coming to life. And so while we'll be in the back half of the year, we do anticipate that each quarter will generally be down with potentially some changes in Q3 and Q4. Thank you.
Joseph Zwillinger: And Abbie, maybe I can just add from a high-level perspective on just a slightly different way to think about it. You can see in the supplemental deck, we put up some specific timing on the international transitions and that really drives a lot of the overall decline in marketing. So that should actually kind of help you pencil out the timing and some of the relative weighting of what you should expect from that decrease related to the switch of the go-to-market. And then in the organic go-forward business, we really want to time the investment in marketing to coincide with this refreshed product line coming out. And we're going to start getting back on offense there and really showcasing some of the strength of this product offering. And just make sure we have the opportunity to meet all the new consumers who haven't even heard of Allbirds yet. And that's the biggest opportunity we probably have. So that's starting in the back half and we'll hopefully get gain strength and continue to accelerate.
Abbie Zvejnieks: Got it. That makes a lot of sense. Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Tom Nikic with Wedbush. Your line is now open.
Tom Nikic: Hey, everybody. Thanks for taking my question. You know, on the Q3 call, you mentioned that you were still confident in getting to adjusted EBITDA profitability and potential confidence in 2025. I mean, do you still have confidence in that timeline? And just to read what I asked because there isn't much adjusted EBITDA improvement in the guidance for 2024. So even with the cost savings and stuff like that, it seems like a pretty long bridge to cross, but just kind of wrap my head around the timeline of getting that sort of profitability.
Annie Mitchell: Sure. Achieving adjusted EBITDA profitability does remain our north star. And we anticipate that it may take longer than initially communicated. We believe the transformation work that we've done to date and will continue to do in 2024, is positioning the business to achieve top line growth in 2025. But this year, the deliberate strategic actions that we're taking around international and US store closures. We'll only see a partial year impact from these due to timing happening over the course of the year. And in 2025, we will benefit from a full year of profitability improvement, setting us up to drive long-term profitable growth supported by the new product and marketing coming online later this year and as we ramp up into 2025.
Tom Nikic: All right. Understood and I guess as we think out to 2025, I mean, I guess there should still be some amount of headwind from or a top line headwind from store closures and the international distributor transitions, right, as they kind of, you know, wrap around.
Annie Mitchell: That is correct. When we do the quarterly comp year-over-year, we will continue to have non-comp impacts as we go into 2025. But remember, these strategic actions are being made because they will be impactful and positive on the bottom line. And so that's what we're focusing on as we go into 2025 is improving adjusted EBITDA.
Tom Nikic: Understood. Thank you very much and best of luck this year.
Annie Mitchell: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Dana Telsey with Telsey Advisory Group. Your line is now open.
Dana Telsey: Hi. Good afternoon, everyone. As you think about your store base in the closing of 10 to 15, what is the right number of stores that you should have and by eliminating these stores, what's the revenue impact and what's the cost impact that you see as a result? Thank you.
Annie Mitchell: Thanks, Dana. The overall impact to the top line this year is 7 million to 9 million. That is largely based on about a half -- average of a half year convention with the door closures. So we do expect the top line to have some non-comp impact as we go in to 2025. In terms of the cost savings, we believe that this change this year, again, largely a partial impact, will be a range of positive 3 million to 5 million from closing these retail doors. And again, that's approximately on a half-year convention. Again, some are closed, some have already closed, and then some will continue to close over the course of Q2 and into a few into Q3. Does that help, Dana?
Dana Telsey: Yes. And what's the go-forward number of stores that you should have from the existing base after that? What are you looking to retain in terms of stores?
Joseph Zwillinger: Dana, I think it's hard to put a number on that because as the base of customers who are aware of us and are purchasing our product expands. I think there's really big white space for the number of stores that could potentially exist. So we need to revitalize momentum and get some relevance with those new consumers we meet and then we can start thinking about building stores again. I think the most important aspect there is just maintaining balance, and we should, and we expect to have a lot of weapons at our disposal, including a much more robust wholesale offering. We have introduced products on Amazon, which has been really successful for us, alongside our DTC channel. So as we see the marketplace develop, it's going to be mostly about balance going forward, and the right number of stores should reveal itself as the business scales and we regain momentum and that'll be a geographic specific decision and one we want to maintain and drive great omni-channel purchase but do it in a very balanced way.
Dana Telsey: Thank you.
Operator: Thank you. This concludes the Q&A portion. I'll now turn the call back over to Joe Vernachio for closing remarks.
Joe Vernachio: Thank you, everyone, for joining us today. I'm incredibly energized by the opportunity ahead of us at Allbirds and I'm really personally excited to get to meet and spend time with our analysts and investors in the coming months. Thank you very much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.